Operator: Good day, ladies and gentlemen and welcome to today’s Era Group Reports Q2 2019 Results Call. As a remainder this conference is being recorded. And at this time, I would like to turn the floor to Crystal Gordon, Era’s General Counsel. Please go ahead.
Crystal Gordon: Thank you, Greg, and good morning, everyone. Welcome to Era's second quarter 2019 earnings call. I'm here today with our President and CEO, Chris Bradshaw; our SVP and CFO, Jennifer Whalen; our SVP of Operations & Fleet Management, Stuart Stavley; our SVP of Strategy & Corporate Development, Grant Newman; our Corporate Controller, Tricia Schroeder; and our Finance Director, Seema Parekh. You may access our recent earnings press release and presentation slides on our website, erahelicopters.com. Let me remind everyone that during the call, management may make forward-looking statements that are subject to risks and uncertainties that are described in more detail on Slide 3 of the earnings presentation. I'll now turn the call over to our President and CEO. Chris?
Chris Bradshaw: Thank you, Crystal, and welcome to the call, everyone. As always, I will begin our prepared remarks with a note on safety, which is Era’s most important core value and our highest operational priority. We are pleased to report that Era achieved our dual goals of zero air accidents and zero recordable workplace incidents year-to-date 2019. The Company has not experienced an air accident in the last three years, and we have now gone over 675 consecutive days without a recordable workplace incident. I want to thank all of our Era team members for their focus and dedication to achieve this world-class safety performance. Turning to an update on our financial position, we have continued to strengthen Era's already strong balance sheet and industry-leading financial flexibility. As of quarter end, Era's total liquidity was approximately $213 million, including almost $90 million of cash on hand. And our net debt balance was just $75 million. After the quarter end, we realized an incremental $7 million in cash proceeds on the sale of three light twin helicopters and a hanger facility in Alaska. With the strong balance sheet, limited debt maturities prior to 2022, manageable fixed charge obligations and a flexible order book, Era remains well positioned for positive cash flow generation. During the first six months of 2019, we generated over $7 million of free cash flow. We were pleased to return capital to our shareholders by repurchasing approximately 1 million ERA shares, which represents almost 5% of the previously outstanding unrestricted shares at an average purchase price of $7.72 per share. I will now turn it over to our CFO, for a review of our Q2 financial results. Jennifer?
Jennifer Whalen: Thank you, Chris. EBITDA adjusted to exclude assets dispositions and special items of $8 million for the second quarter of 2019 compared to $5.6 million in the first quarter of 2019. Contributing to the $2.4 million increase in EBITDA was a $4.2 million increase in revenues due to higher utilization in our oil and gas business and new contracts in the dry-leasing and emergency response time to service. Operating expenses were higher by $2.1 million due to increased personnel, repairs and maintenance and other operating expenses. Income tax expense was $1.4 million compared to a benefit of $1.6 million in the previous quarter. The income tax expense in the quarter was driven by the gain on the sale of our Dart joint venture. Moving on to the second quarter of 2019 compared to the second quarter 2018 results, EBITDA adjusted to exclude asset dispositions and special items was lower by $0.6 million. The decrease in EBITDA was primarily as a result of lower revenues of $2.2 million due to lower utilization in U.S. oil and gas operations, partially offset by higher utilization in international oil and gas operations and new contracts in the dry-leasing and emergency response time to service. Operating expenses were $1.5 million lower, primarily due to a decrease compared to maintenance expense as well as lower interest. General and administrative expenses were $5.9 million lower than current quarter due to a decrease in professional service fees related to litigation that's now been settled. Finally, cash flow provided by operating activities was $7.2 million for the current quarter. As Chris noted previously, we generated positive free cash flow, and we're able to return capital to our shareholders. At this time, I'll turn the call back to Chris for further remarks. Chris?
Chris Bradshaw: Thank you, Jennifer. As noted in our press release, Era recently signed new multiyear contracts with our two largest oil and gas customers in the deepwater Gulf of Mexico, namely, Anadarko Petroleum and ExxonMobil. We are grateful for the continued trust and confidence placed in Era by our valued oil and gas customers, and our entire team remains dedicated to providing them with safe, efficient and reliable helicopter services every day. Separately, the company recently began a new emergency response services contract in Suriname, supporting offshore oil and gas operations in that country. In addition, we signed a new emergency response services contract in the U.S., supporting a leading player in the rapidly growing commercial space industry. The latter contract is scheduled to commence later this year and will employ two fill-time medium helicopters and two additional medium helicopters during manned mission flights. In conclusion, Era is positioned to generate positive free cash flow. And the company is also well positioned to participate in value-accretive consolidation opportunities, should they become actionable. We continue to believe that our strong balance sheet and cash flow profile present multiple opportunities to create value for Era's shareholders. With that, let's open the line for questions. Greg?
Operator:
Operator: And sir, it doesn't look like at this time that we have any questions from the audience.
Chris Bradshaw: Great. Well, thank you, Greg, and thanks everyone for listening in this morning. We look forward to speaking again next quarter, be safe.
Operator: And once again ladies and gentlemen, thank you for joining us. That does conclude our call for today. You may now disconnect.